Operator: Thank you for standing by. This is the conference operator. Welcome to Paratek Pharmaceuticals Second Quarter 2021 Earnings Call. As a reminder all participants are in listen-only and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator instructions] I would now like to turn the conference over to Paul Arndt with LifeSci Advisors. Please go ahead.
Paul Arndt: Thank you, operator and good afternoon everyone, and welcome to Paratek's second quarter 2021 earnings and corporate update conference call. A press release with the company's second quarter results was issued earlier today, and we have also posted slides on our website that will be referred to on this call. Both can be found at www.paratekpharma.com. Participants on today's call are Evan Loh, Chief Executive Officer; Adam Woodrow, President and Chief Commercial Officer; Randy Brenner, Chief Development and Regulatory Officer; Michael Bigham, Executive Chairman; and Sarah Higgins, Vice President of Finance, Controller, and Principal Accounting Officer, will also be available for questions. Before I turn the call over to Evan, I would like to point out that we will be making forward-looking statements, which are based on our current expectations and beliefs. These statements are subject to risks and uncertainties, and our actual results may differ materially. I encourage you to consult the risk factors discussed in the company's your SEC filings for additional detail. It is now my pleasure to turn the call over to Evan Loh, Chief Executive Officer. Evan?
Evan Loh: Thank you, Paul. Good afternoon and thank you all for joining our second quarter earnings and corporate update call. Paratek remains focused on excellence and operational execution and delivery against our stated corporate priorities in order to generate value for patients and our shareholders. Accordingly, we remain confident that our efforts in 2021 will firmly establish the foundation for the continued and long-term commercial growth of NUZYRA and demonstrate continued forward progress in all aspects of the BARDA BioShield public private partnership, which is designed to develop NUZYRA as a novel medical countermeasure for the treatment of pulmonary anthrax. As you can see from this next slide, NUZYRA's quarter-over-quarter growth continued into the second quarter of this year, generating a total of $52.8 million in net U.S. sales. This revenue includes $14.9 million from the core NUZYRA commercial business, a 13% increase over the first quarter of 2021 and an 84% increase over the second quarter of 2020. We believe this quarter-over-quarter growth was not only a significant achievement in this volatile and rapidly evolving healthcare setting, but serves as a reflection of the clinical importance of positive patient outcomes with NUZYRA and the overall strength of our commercial business. The balance of $52.8 million in net U.S. sales was secured from the first BARDA procurement, delivered and accepted by BARDA in June of this year. Accordingly Paratek recorded revenue of $37.9 million from this procurement in the second quarter of this year. Our confidence in the long-term commercial success of NUZYRA remains unabated based upon the strong foundation of demand for NUZYRA that our sales and marketing teams have established in the first two years of the commercial launch, which focused solely on the hospital care setting. In early 2021, based upon performance data from a focused primary care sales pilot program conducted in the second half of last year, we expanded our commercial promotion into the primary care setting. To date early signals of trial and adoption in the community launch appear promising and augur well for future long-term growth. As seen on this next slide, the monthly commission revenue curve continues to validate that NUZYRA's commercial performance to date represents one of the most successful antibiotics launched in the last five years. The NUZYRA commercial launch dynamics continue to materially differentiate from any IV, oral antibiotic launches. We believe that the strength of the commercial business is driven by disciplined operational execution combined with NUZYRA's many clinically important product attributes that include first, broad-spectrum efficacy, including resistant pathogens across two common indications; second, a favorable safety profile consistent with NUZYRA's tetracycline heritage; and third, convenient once-daily oral and IV formulations that enables NUZYRA's utility in multiple settings of care. We anticipate that the positive growth trajectory of the core NUZYRA commercial business will continue through the balance of this year, given the encouraging inbound feedback from the primary care based physicians, who have consistently articulated the need for a well tolerated once daily oral broad-spectrum antibiotic that includes coverage against MRSA for skin infections. Further, we believe that this community expansion will materially benefit from the additional long-term value of the recently FDA approved oral-only regimen in pneumonia for NUZYRA. Adam will provide more details on the community expansion during his prepared remarks. In addition to the continued growth and success of the commercial business, we are focused on three foundational catalyst beyond the community expansion for the NUZYRA U.S. launch that we believe will create near and long-term value for Paratek, all of these having occurred in the second quarter of this year. First, as a continued validation of the broad-based commitment of BARDA to this unique BioShield funded public private partnership, we were excited to announce that BARDA has accepted delivery of the first procurement of NUZYRA valued at $37.9 million. Second in late May of this year, we received FDA approval of our NUZYRA sNDA for the oral loading dose regimen in pneumonia. We believe that this will be an important catalyst that will broaden and further expand the commercial growth opportunity for NUZYRA in both the hospital outpatient and primary care settings. We plan to launch the second community-based indication as we entered this year's fall, winter pneumonia season. Third, the initiation in June of this year of a Phase 2b study for NUZYRA in a rare disease pulmonary non-tuberculous mycobacteria abscessus for which there are no approved therapies. To further support the need for additional clinical research to recognize NTM experts for also NTM treatment guideline authors collaborated on a recently published review article that expands on the current guidelines for the treatment of pulmonary mycobacterium abscessus infections. These authors included omadacycline in their recommended NTM abscessus treatment options, and also noted that additional clinical studies in this disease are desperately needed. Randy will provide more details on our NTM program later in his prepared remarks. I would also like to note an important recognition of the clinical utility of NUZYRA that occurred in July and another potential future milestone anticipated in the second half of this year that we believe will create longer-term value for Paratek. First, last month in July, CDC's guideline for the Treatment and Prophylaxis of Plague was updated to include NUZYRA. The addition of NUZYRA to the CDC guidelines provides further validation now across multiple agencies, including the beyond CDC, FDA and BARDA within the Department of Health and Human Services of the potential utility of NUZYRA against pathogens that cause health and bioterrorism security threats such as anthrax and plague. A second event or milestone, which we anticipate will occur later this year, is the approval of NUZYRA in China. The approval in China will trigger $6 million milestone payment from Zai Lab and will make NUZYRA available in one of the largest antibiotic markets in the world today. It is important to note that both of these last two catalysts remind us that antibiotics are truly global products. We cannot forget that antimicrobial resistance is an ongoing pandemic that requires innovation such as that represented by NUZYRA in order to stay ahead of bacteria's ability to create new mechanisms of resistance. Before I hand the call over to Adam, I would now like to provide Paratek's second quarter 2021 financial highlights. Second quarter 2021 total revenue was $57.5 million, which is comprised of the following. NUZYRA generated $52.8 million in net U.S. sales during the second quarter of 2021. This revenue is comprised of first $14.9 million from the core commercial business, which represents a 13% increase over the first quarter of 2021 and an 84% increase over the second quarter of 2020, and importantly $37.9 million from the first of our BARDA procurements. Government contract service and grant revenue earned from costs incurred under the BARDA contract was $4.2 million for the second quarter of 2021 compared to $0.9 million in the second quarter of 2020. We anticipate a modest step up in contract service and grant revenue earned under the BARDA contract as we move through the year, driven by activities associated with the U.S. onshoring of NUZYRA manufacturing, the continued enrollment of the FDA post-marketing required study in pneumonia and further progress of the preclinical in vitro studies and large animal pharmacokinetic or PK studies in the anthrax program. Research and development expenses were $6.5 million for the second quarter of 2021 compared to $4.6 million for the same period in the prior year. The increase in R&D expenses for the second quarter of 2021 was primarily due to $4.2 million in costs that were reimbursed under the BARDA contract, which included costs for the U.S. onshoring of NUZYRA manufacturing and for FDA post-marketing requirements, which includes the preparatory work for the pediatric studies with NUZYRA in addition to the ongoing pneumonia study. The remaining increase is mainly the result of start-up costs incurred for the Phase 2b NTM abscessus study. Selling, general and administrative expenses were $27.1 million for the second quarter of 2021 compared to $21 million for the same period in the prior year. The increase in SG&A expense is primarily the result of cost incurred for the NUZYRA community expansion and an increase in stock-based compensation expense due to the probability and timing of the achievement of performance-based vesting milestones. Paratek reported net income of $9.7 million, or $0.20 of earnings per year for the second quarter of 2021 compared to a net loss of $23.1 million or $0.53 loss per share for the same period in 2020. As of June 30, 2021, Paratek had $75.3 million in cash and cash equivalents. Based upon our current operating plan, we anticipate our existing cash and cash equivalents plus the $37.9 million received from BARDA in July of this year for the first procurement of NUZYRA provide for a cash runway through the end of 2023 with a pathway to cash flow breakeven. I would now like to turn the call over to Adam. Adam?
Adam Woodrow: Thanks, Evan. The commercialization of NUZYRA continues to progress well with consistent quarter-over-quarter growth seen since launch despite continued access challenges due to the ongoing COVID-19 pandemic. As you can see from Slide 11, NUZYRA core commercial net revenue grew 13% in the second quarter when compared to the first quarter of this year, more than double the rates of growth compared to the prior quarter. NUZYRA gross demand increased from $14.6 million in the first quarter of 2021 to $18.6 million in the second quarter of 2021, an increase in $4 million in total. Thus growth continues to be driven by demand. NUZYRA's once daily well-tolerated oral and intravenous formulations combined with NUZYRA's broad spectrum profile offers a much needed new life-saving antibiotic that is uniquely positioned to be applicable in every setting of care from the hospital and its potential to minimize hospital stays to the community where there is a tremendous unmet need for a well tolerated once daily oral broad-spectrum antibiotic that includes coverage against MRSA for skin infections. These attributes, in addition to having an approval in two common indications, has enabled NUZYRA's launch to materially differentiate itself from other recent IV oral antibiotics launched in the United States. As discussed in previous calls, our initial strategy was to launch into hospitals, focusing on the key influences in the antibiotic sector that being infectious disease physicians. In parallel, we worked with the payers to gain favorable access in the outpatient community setting. As we enter 2021, roughly two years after launch over 85% of our business was generated by hospital-based physicians with IV doctors making up approximately 70% of our prescriber base. This validates the need for effective IV oral antibiotics for patients hospitalized with serious Community-Acquired infections or CABP. Today, we continue our focus on growing our hospital business. We are however cognizant, the hospitals continue to provide physical access challenges as they did for much of 2020. And these challenges are greater than those seen in the primary care setting. We've also found former [indiscernible] committees remain distracted and focused on COVID-19, and while face to face sales representative access to physicians in hospitals has clearly improved during 2020. It is difficult to predict when the hospitals will hopefully open up. In the meantime, our hospital team continues to execute on its hybrid model, which entails successfully working virtually and in the adjacent sites of care where the more impactful face-to-face access is more readily gained. Their strategy has enabled us to maintain our growth trajectory as we see new accounts to top NUZYRA for specific patient types, such as patients with pneumonia and a high risk of C. diff infection, or for patients with a skin infection and multiple co-morbidities or allergies as highlighted on this slide. At the beginning of 2021, having established ID endorsement and good patient access to NUZYRA in the community, we started recruiting a field force to expand promotion into the $2.2 billion total addressable market for skin infections in the community. Current generic antibiotic options in the community setting are universally challenged by either significant bacterial resistance or serious safety concerns limiting their usage. During Q2 2021, we met our goal of 40 fully trained primary care specialists detailing out oral only skin indication to a target audience of community-based physicians made up with primary care doctors, podiatrists and a select group of high prescribing dermatologists. Our sales message is to provide primary care physicians with a treatment option for serious skin infections that can potentially avoid the need for hospitalization. Start at home, stay at home with NUZYRA once a day, resonates with physicians in today's COVID-19 environment. After an initial settling in period, this team is performing well and progressing are tracking to the plan we developed based on the pilot program we ran in 2020. We have also recently received positive feedback on the reception of a small community based medical science Liaison team that Randy will provide more details on later in the call. The second quarter has also confirmed our initial utilization expectations in the community where we see primary care physicians and podiatrist in particular for NUZYRA earlier, more frequently and after fewer sales course when compared to hospital based IDs or pulmonologist. We assume the faster uptake in the primary care setting is likely the result, the absence of stewardship committees and formally restrictions found in the hospitals as well as the tremendous unmet need in the community for new effective and well-tolerated oral antibiotic in the skin indication The key to success in the primary care setting or ensuring access to NUZYRA for a patient and fulfilling prescriptions in a timely manner. With that said, we are particularly pleased with our progress in the payer environment between the insured patients and the Medicare patient population where we see the vast majority about prescriptions. We now have over 132 million lives covered with limited or no restrictions, but perhaps what is more important is that after completing the benefits investigations, a specialty network is able to fulfill approximately 95% of all prescriptions written usually within 24 hours, and regardless of payer coverage status. Our objective in the primary care setting moving forward is to fine tune our community targeting strategy based on the characteristics of the initial trial list and their utilization data to accelerate initial trial and repeat usage. We continue to evaluate this significant opportunity for further expansion and are looking forward to the launch in the fall of the CABP oral indication, which we estimate to have a total addressable market with some $1.5 billion. In summary, we anticipate the momentum in hospitals and primary care will continue through 2021 and expect to see continued growth as we launch our newly approved oral only dosing for cat in the fall and maintain our focus on gaining new trial is the repeat usage by building awareness and establishing trust and credibility with physicians who are saving lives and treating serious community infections every day. And with that, I'd now like to call – turn the call over to Randy.
Randy Brenner: Thanks, Adam. Let me start with some updates regarding our BARDA program. As you heard from Evan a few minutes ago, we were excited to announce that BARDA accepted delivery of the first procurement of 2,500 anthrax treatment courses of NUZYRA valued at $37.9 million. Upon completion of this delivery of the first procurement, BARDA asked Paratek to be its distribution partner for NUZYRA should anthrax attack and outbreak occur. Paratek has agreed to partner with BARDA on this work and our carrier contract was modified last week to include an additional scope of work and funding for this effort; should the United States government trigger a distribution request? We are excited to expand this partnership in the distribution phase and use Peratek's distribution infrastructure and network to further play a part in protecting Americans. With regards to the timing of future procurements as we noted last month, these will be linked to specific development milestones. BARDA has confirmed to us that satisfactory top line data from the pilot efficacy study for the treatment of anthrax in rabbits will trigger the next procurement. We expect to have top-line data in hand by the second half of 2022. Together with BARDA we continue to make great progress on the animal rule development program for anthrax. Efforts this year are focused on the evaluation of pharmacokinetic of omadacycline in both rabbit and non-human primate animal models for inhalation anthrax. A PK study rabbit was completed earlier this year. The second PK study in rabbit – an initial PK study in monkeys is planned for the fall. With regards to our BARDA sponsored onshoring program, we are pleased to report on its continued progress. In collaboration with BARDA all of our onshoring partners have now been selected. Paratek and our U.S. onshoring partners have completed the knowledge transfer at initial analytical and process development work for our API products. Additionally, we've ordered the necessary equipment and began construction of the facilities to enable commercial production of omadacycline API. Work is also ongoing at the partners for our U.S. drug product facilities, where we have similarly completed the knowledge transfer at a initial analytical and process development for omadacycline tablets, and we'll move forward with the engineering phase of this project later this year. For the omadacycline IV drug product, we've selected our U.S. onshore partner are in the beginning phase of the project. BARDA continues to partner with Paratek to fund our FDA post-marketing commitments. Recall that this contract line item is valued at approximately $77 million and includes reimbursement for our ongoing adult pneumonia, IV to oral post-marketing study commitment as well as reimbursement of our pediatric and microbiologic surveillance programs. Following omadacycline's placement or FDAs essential medicines list last year in July, NUZYRA was added to the CDC's updated guideline, Antimicrobial Treatment and Prophylaxis of Plague: Recommendations for Naturally Acquired Infections and Bioterrorism Response. The addition of NUZYRA provides further validation across multiple agencies within the department of health and human services of the potential utility in NUZYRA against pathogens that can cause health and bioterrorism security threats such as anthrax and plague. Plague is a disease that affects humans and other mammals. It is caused by the bacteria Yersinia pestis. Humans usually get plague after being bitten by a rodent flea that is carrying the plate bacteria by handling an animal infected with plague or inhalation of infected droplets. If not identified and treated with an effective antibiotic plague can be rapidly fatal. It is present in the U.S. today and cases are most commonly reported in the Western and Southwestern states, including Arizona, California, Colorado, New Mexico, and Texas, where wild rodents carry the bacteria and represent a surrogate for human infection risk. Consistent with our commitment to build NUZYRA's long-term value, we continue to actively pursue life cycle initiatives for NUZYRA. In May, we received FDA approval of our sNDA for the oral loading dose regimen of community bacterial pneumonia, which was a big milestone for the program. This achievement as noted by both Evan and Adam will augment the community launch as we enter into the second half of the year, and the pneumonia season approaches. In addition, we have continued to advance our clinical development program for Nontuberculous Mycobacterial Pulmonary Disease, caused by Mycobacterium abscessus or NTM. As a reminder, pulmonary NTM abscessus is a rare and orphan disease with no FDA approved therapies. Inbound feedback from the KOL community has continues to highlight the clinical unmet need for efficacious and well-tolerated once daily oral antibiotic to treat infections caused by mycobacterium abscessus. Based upon our internal market analytics, pulmonary mycobacterium abscessus represents a $1 billion addressable market in the U.S. alone. Startup activities for our Phase 2b clinical study for treatment of pulmonary NTM with omadacycline are underway. Clinical sites for this study are actively prescreening patients, and we anticipate initiation of patient enrollment soon. As a reminder, this study is a three month randomized placebo controlled monotherapy design that will roll approximately 75 patients with pulmonary NTM infections caused by mycobacterium abscessus. As this is a rare disease enrollment is estimated to take approximately two years. This study will provide much needed placebo controlled trial data in mycobacterium abscessus patients. Most recently two NTM experts, who are NTM treatment guideline authors, collaborated on a recently published review article that expands on the current guidelines for the treatment of pulmonary mycobacterium abscessus infections. The authors included additional agents, which are highlighted in green on this slide including omadacycline and their recommended treatment options based on omadacycline’s potent in vitro activity and reports of clinical success in real-world case series. In particular, the authors highlighted the potential of the oral formulation of a omadacycline, given the lack of currently available oral treatment options and listed at first in order of preference for the new oral options, they included. The authors also noted that clinical trials in this disease are urgently needed the excited we have for our randomized study in NTM abscessus that we've just initiated. In addition to NTM data generation will continue to expand throughout 2021 through multiple avenues. First, we continue to generate data with our partners within the U.S. government and one of the in vitro biothreats studies has resulted in an abstract that was accepted at IDWeek. Second, additional evidence continues from our growing IRR program. This includes study of C. difficile infections, bone and joint infections, and NTM both MAC and mycobacterium abscessus. Two IIR isn't completed this year and nine are currently underway. From our IIR program we have three abstracts that have been accepted at Aquavit or IDWeek with one lead author of receiving the IDWeek training award for the abstract. And third, real-world evidence from three ongoing observational studies and independent case series continued to be presented at conferences and published in peer review journals that described the clinical features and outcomes of patients with challenging infections. Particularly in NTM and osteomyelitis, that receive omadacycline as a therapeutic agent. A real-world retrospective claims analysis is underway that assesses the patterns of inpatient and outpatient antibiotic utilization in [indiscernible] skin. This study will generate a series of publications with the first abstract of NUZYRA to be presented at IDWeek 2021 later this year. All of this work has resulted in the acceptance of 11 manuscripts republication this year that addressed the use of NUZYRA and special pathogens populations or disease states and we'll further define its unique therapeutic profile. The medical affairs team has several activities planned to further support the community launch and the expansion of scientific education into this new health care base. This includes the placement of a small number of targeted community-based education medical science liaisons to further augment the primary care lodge through scientific exchange. We have strategically placed them in densely populated metropolitan areas with a large presence of primary care practitioners. Education will focus on community antimicrobial-resistant trends associated with the community acquired pneumonia and skin and soft tissue infections. The most up-to-date clinical care algorithms for these infections, coupled with the most pressing unmet needs associated with their treatment options. As you know, we also have an ongoing omadacycline NDA review in China, and I am pleased to note that the regulatory process continues to make good progress with the approval expected later this year, which would trigger a $6 million milestone payment from Zai Lab to Paratek. We believe that the China approval and launch as well as the additional data generation opportunities being pursued by Paratek will further broaden the potential for NUZYRA to reach into new and clinically important patient populations. At this point, we would now like to open the line for questions.
Operator: [Operator Instructions] The first question is from Ed Arce from HC Wainwright. Please go ahead.
Ed Arce: Hi, thanks for taking my questions and congrats on the continued progress this quarter. Three questions for me. Firstly, you had mentioned for the BARDA contract this next procurement is upon the data from rabbits expected in the second half of next year. I'm wondering if that would trigger the second procurement or is there any other before then and if that's the only one that we have visibility to in the timeline. And then secondly, the community launch upon the start of the pneumonia season, I'm wondering if you could give us a little more detail around exactly when activities would ramp-up for that. And I know you mentioned MSLs and some of those being placed in densely populated areas, but exactly what kind of activities do you think could best explain how you expect to really reach the physicians there. And then lastly with the NTM enrollment expected to take about two years, is there any expectation for perhaps any interim data or any related publications before then related to NTM? Thanks so much.
Evan Loh: Ed, its Evan. Thank you very much for the questions. So with regards to the next procurement, maybe I'll have Randy address that question.
Randy Brenner: Sure. So, yes. So, thanks, Ed. Yes, sure, your statement is correct that the data readout in the second half of next year regarding the pilot rabbit treatment efficacy study is in relation to the next procurement what we refer to sometimes as the second procurement. We're still in discussions with BARDA over the definition of progress and how the third and fourth procurements will be, what they'll be linked to and we'll certainly share that once those discussions are complete.
Evan Loh: And I think since you're already speaking, Randy, maybe you could take the Ed's third question, which is around the NTM trial and any visibility on interim data or publications.
Randy Brenner: So there – as of now, Ed, it is a placebo controlled randomized trial with no plans for interim analyses built into that. That being said we do anticipate not from our Phase 2b study, but from much of what I mentioned with regards to ongoing activities within IIRs and other case series being published that during the course of this clinical program, there will be multiple NTM publications related to omadacycline and that's used in that patient population that will be coming out periodically over time.
Evan Loh: Yes. Fair to say that the Mike Rybak database is probably going to be the largest one, right, Randy?
Randy Brenner: Yes. I mean, that's part of our IRR program.
Evan Loh: Yes, great. Okay. Adam, other features of what activity we were planning for the community launch to ensure that we can reach the appropriate physician.
Adam Woodrow: Yes. Thanks, Ed. So last when we're going to start, well, we've obviously been looking at this for some time now. And right now, we've just finalized our messaging and our materials for our representatives. We've got all of our training programs put in place. Our representatives are being briefed at the end of this month into September. And they will obviously be fully trained on the oral only dosing regime. In addition, we've got an education that we'll be doing through the community-based MSLs, there's a small team, but there's a good education that needs to be done and can be completed by them. We are also targeting obviously community-based pulmonologists. They will be added to the target list of our specialty representatives. And also we will be selecting a high prescribing respiratory primary care doctors that will be added to the call list that at the present time is really very much focused on skin. The story is simple and we'll be kicked off in September in time for the flu campaign. And we will share more details of exactly what we've done at the next call.
Evan Loh: And then Ed, just to add, because you specifically asked about the MSLs. I can tell you in the few months that they've been out there the enthusiasm from the primary care physicians have been terrific and they are thrilled to learn about antibiotic resistance. I think, we've been a little surprised how little these physicians are aware of even the resistance numbers and resistance patterns within their own regions. They're welcoming the opportunity to continue to educate themselves on treatment paradigms, resistance patterns and other things. So, the MSL experience to date in the community has been really, really positive. And we anticipate that excitement only continue to grow.
Ed Arce: Fantastic, thanks so much.
Operator: [Operator Instructions] The next question is from Suji Jeong from Jefferies. Please go ahead.
Suji Jeong: Hi. Thanks for taking my question and congrats on the good quarter. Could you share with us your current strategy or thoughts for the coverage obligation for NUZYRA in Europe? And also my second question is what percentage – currently, what percentage of those scripts come from the off-label use? Thank you.
Evan Loh: So, Suji, I'll take the first part with regards to Europe. As you recall, when we actually submitted our MAA, we utilized the exact same database that we used that was FDA approved. And EMA requested a second pneumonia study and thus we are conducting that second pneumonia study. Because of the fact that our analytics told us that the unmet need was primarily in terms of resistant pathogens in the pneumonia sector, we decided to withdraw our application and we'll – we had initially planned to await the results of that second pneumonia trial. The other exciting aspect of Europe that we think is a big opportunity as well as we've explored the rare disease NTM. We've learned that in fact there is as much NTM there in the European theater as there is in the U.S., it is truly a global disease. And we think that there may be an opportunity here to leverage the randomized Phase 2b data as a way to open the door to have further discussions with the EMA specifically about what a development and registration program would look like for NTM in addition to the other indications that we had originally saw. Adam, do you want to take…
Adam Woodrow: I'll take that…
Evan Loh: Adam, do you want…
Adam Woodrow: Yes, I'll pick that up Evan. So, Suji, you asked the question about what percentage of our businesses is off-label. As we went into this year, about half of our business was off-label as we promote to infectious disease consultants for skin and pneumonia, they tend to use our drug in other indications, notably sort of off-scale and some NTM. We're now obviously migrating and adding to that with promotion and primary care. And we're seeing a steady increase in the utilization for skin in the primary care setting with that promotion, which is starting to eat into the sort of, I suppose, the proportion of our business that is off-label. The reason for that being that primary care physicians tend to stay on label in terms of their utilization. So, right now, it's probably about 50:50, but I would expect that that will come down and we'll end up with a mix of about 60:40 probably as we go into 2022.
Evan Loh: Yes. Suji, just as one other addition to my earlier comments when you look at the strategy that we undertook specifically about withdrawing the application that was – it was important for us to be able to preserve the maximum amount of market exclusivity. And as you know, the clock starts ticking on your initial indication, which could have been for the skin indication, which we thought was less valuable ultimately for us as well. And we do think that when, when – as we consider a rare disease opportunity, like NTM, I think that there is going to be recognition for, I think the innovation and the value of that provides in a rare disease and orphan setting.
Suji Jeong: I see. Great. Thank you.
Operator: The next question is from Robert Hazlett from BTIG. Please go ahead,
Robert Hazlett: Yes. Thanks. So apologies if you've commented on this, but maybe Adam or Evan, you could comment on, because of the physician access for your sales force, is it normalized at this point? And are you expecting any potential wobbliness with regard to that as different COVID variants kind of course the way through the system? If you commented, my apologies.
Adam Woodrow: No. I sort of mentioned in my commentary, but you know, hospital access is still not where we would love it to be, which is back to where it was pre-COVID, is still restricted quite significantly in some parts of the country, it's geographically disperse. And it really difficult to predict where that's going to go for exactly the reason you're intimating the new guidelines and changes. I don't think actually help us at this present time. Having said that the access in the primary care setting, with that primary care field force is very, very good and even the hospital team continue to work successfully in the adjacent sites of care and through those sort of remote setting.
Evan Loh: Yes. I think the other aspect of the primary care access – primary care access that I think is important to us is the fact that as Adam has described in the past I think that there is just a very – a much larger search field to actually find physicians that have patients that have the unmet need that NUZYRA can provide. In addition to that, I think our specialty pharmacy approach has really, I think risen to the occasion in terms of optimizing its performance with regards to ensuring fulfillment mostly within a 24-hour period of time for individuals that receive prescriptions for NUZYRA. And that's even generally in the case of accounts, even on the Medicare side where we don't have a formulary listing, we do have enough of a trusting relationship there with those physicians and the providers where positive patient outcomes is really continuing to be very much aligned with what they are trying to deliver as well as what we care about most.
Robert Hazlett: Just one more related component. Thank you for that. One more related component. So you commented on it earlier, I think with regard to the resistance data that you were providing, is that resonating as it used to in days of old, with different antibiotics love to just hear how that's how that's playing out in the field?
Evan Loh: Adam?
Adam Woodrow: Yes. I can, I'll answer that because I've been to some recent advisory boards. It's fascinating, but I'm actually in the pneumonia space because there's not been anybody in there. The physicians are blissfully unaware of how poor the susceptibility is for strep-pneumo, for example, with the oral antibiotics that they prescribed. So there is a little bit of education to do there, which is what we were mentioning earlier on. Having said that, of course, one of the benefits is that we get a significant share of voice in that space. We will be the sort of first one to day drug in that space in some time for the treatment of community acquired pneumonia. And the skin space, they're far more aware of it because there's been a number of products that are promoted the challenges with oral drugs without MRSA coverage. So [indiscernible] is a Greenfield site for us and really they – they are shocked and surprised when they see how poor the oral drugs are. I mean, you have to remember that they're using drugs that are between sort of 25 and 50 years old, and the resistance rates vary from sort of 50% to 20% of the best. And so we really do provide a highly efficacious alternative in a package that appears to have really good safety data.
Evan Loh: I think, Bert, another data point maybe I'll have Randy comment on is the feedback that we have from our small focused MSL interactions with the primary care docs.
Randy Brenner: Yes. I mean, it's very similar to what Adam just mentioned. Most of them are aware of antimicrobial resistance. I mean, obviously they hear about it just like everybody else does and knows it exists. But – and also very much aware of MRSA and MDR-SP and the challenges around there, but – and the pneumonia is based in particular, there is the lack of understanding, why patients, they get [indiscernible] two or three times keep coming back and it's not working. And equating that to, as Adam said that 25% to 45% or 50% resistant rates that exist for many of the generic antibiotics. So in the community is definitely a message that Doctor aware of but there's the education, certainly helping them understand how bad the resistant patterns are and the different reaches that we're talking to them in.
Robert Hazlett: Thanks. Appreciate the color. Look forward to getting traction as you really lean into the all oral of sales effort. Thanks.
Evan Loh: Thank you, Bert.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Evan Loh for any closing remarks.
Evan Loh: In closing, I would like to thank you all for your time and attention today. Your continued interest in NUZYRA and Paratek are important to us. The journey of making NUZYRA commercial success as well underway, as the wealth of microbiological data and clinical outcome studies on NUZYRA continues to expand we are increasingly confident in the potential of NUZYRA to be an effective and a much needed addition to the armamentarium of antibiotics available to physicians to save lives in multiple settings of care. The opportunities ahead of us to be able to provide a novel life saving antibiotic to patients motivates us all that at Paratek. We look forward to keeping you apprised of our continued progress. Goodbye for now.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.